Niel Pretorius: Welcome, and thank you for joining us. This is our first presentation, live presentation after COVID. So it's really nice to be back in a venue where I can see more than just the upper section of the attendees. I think it's also the sort of results where we would have preferred to have people present and look you in the eye, tell you what we did, what we wanted to do and how we position going forward. Before we start, let me just switch this off before it goes off. There we go. So, Riaan is joining me as well. Riaan Davel is joining me as well. He will be taking care of the financial portion of the presentation, and then Jaco's also joining us. There's other colleagues, too. So at the end of the presentation, we'll be happy to take your questions and provide some additional perspective on the material presenting. So you're familiar with the disclaimer. There are some forward-looking statements, so please familiarize yourself with those. And then as we get going, let's have a look at the performance for financial '24 at a glance. Obviously, something that we are hoping to maintain going forward as our dividend record. This is the 17th consecutive financial year that we're paying a dividend. This year is smaller because we spent quite a bit of capital to preserve for the future going forward. So the final dividend is ZAR0.20. When I look at the number, it reminds me of how long I've been working for DRD. This is my 21st year. So happy that only four of those years were not dividend year and those were the first four. In terms of financial performance, revenue for the year was up 14%, just over ZAR6 billion. Operating profit was also up 14% to just over ZAR2 billion. This is, of course, on the back of a very, very good gold price. If you go through the numbers, you'll see that we only got to 84% of our targeted volume throughput for the year for a variety of reasons. That notwithstanding, we manage 93% of our targeted gold production. So there were some innovation, some hustling taking place to get the requisite tonnes through the circuit. But I think we ended up well considering the circumstances. And then, of course, with the gold price like had we have very position to take advantage of that. So headline earnings are up 4%. The big item investments part of resonation of course, is the capital expenditure. So positioning for the future, we decided invest in solar plant, solar plant 60-megawatt of capacity at [Technical Difficulty] system being introduced into the circuit. And in fact, I think there's activity today or over this time, where there's going to be a [Technical Difficulty] has been linked up with the grid as well. In addition to 60 megawatts solar plant is also 60-odd megawatts of battery storage, which will help us to more enable the product to store power and never really having to make use of electricity. It's a very significant saving in that regard as well. Operating performance for the year. We produced just over 5000 gold, which is a 5% year-on-year. And as I said, it is roughly 7% than what we had targeted on the back of lower volume throughput. Sustaining margin, 24%, so still healthy. On the back of the higher gold price, throughput only 86% of what we had targeted and yield also obviously down year-on-year. Cash operating cost, that's the item that was the hard head by the circumstances that we dealt with this year, the low volume throughput. So that was quite a bit up and also higher than guidance, I think we guided just under ZAR800,000 and that came in at ZAR833,000 per kilogram. ESG or sustainable development, whichever you prefer. Very sadly, we had the fatal incident at Eskom at 5:27 when our colleague operating the loader was killed while as a consequence of a site slip of the dump that he was reclaiming from. The first time in six years that we've had the fatality is the first one of this nature in more than three decades, which is very, very unfortunate. Obviously, a whole host of measures have been implemented also to further reduce the risk of this sort of thing happening going forward. Big item for us is the completion of the solar project, as I meant earlier. Already, we're seeing a 6% decrease in electricity consumption. We believe that, that will go down even further. And there's some detail in the presentation further on and also the letter to shareholders detailing those, but anything between ZAR9 and ZAR15 per tonne is the estimate at this stage and obviously, variable because of bearing power tariffs, different times of year and also different times of the day, you've got peak tariff and so forth and so forth. So it really depends what metric you use for this calculation. But in real terms, anything up to ZAR15 per tonne reduction, real reduction in cost and cash operating costs at Ergo. Water consumption is one of the success stories in terms of sustainable development for the company. This year, again, we saw a 58% decrease. Now admittedly, it was off the back also of lower throughput on the hydraulic mining side, although 95% the water that we use for mining is recycled. But this is really also the consequence of measures that were decided upon many, many years ago to every year try and decrease water usage by at least 10% and systematically, the whole design of our water reticulation system has been adapted to enable us to rely mostly on nonportable water on recycled or gray water. Vegetation. This is now areas on our tailings dams that we vegetate for dust prevention. There's a wonderful ecosystem biodiversity story also emerging in that regard because this vegetation is natural vegetation settling in natural soils because it's normal natural wells that we put on the side of the Brakpan tailings dam. And that is helping to really attract indigenous species, insect bird and so forth species back to those dams as well. That's a wonderful biodiversity story. And then in terms of dust exceedances, this is something that we do have to monitor closely because most of our facilities are in close proximity to where people live and you don't want them to live under a cloud of dust. So very little -- very, very little dust coming off any of our facilities. So we put this slide up here. I'm not very fun of the word ESG. ESG really is a subset of sustainable development. But by calling at ESG, you've really taken the idea or concept of integration out of sustainable development. So I think this sort of restores the picture for what it is of how you pursue integrated value, a variety of capital stocks. And we're -- either you have overlay or you have the one capital stock delivering in the bottom line of the other capital stock. And it facilitates language like natural dividend and social dividend and so forth and so forth. And this is something that we've been very focused on for many, many years. Sustainable development, in fact, has been the golden thread, informing our strategic thinking and also informing the deployment of resources and of capital. And I think it's really become deeply embedded in the narrative of the DRDGOLD story. So looking at these different capital stocks, and I'll go through them very, very briefly. I'm not going to spend too much time on it. Obviously, the value that you want to create is value in terms of all of those. And in as much as you can have integrated or align value, so much the better. And what that basically means is that if you want to reduce your carbon footprint, for example, by building a solar plant, you also want the electricity to be cheaper than electricity that you would have sourced off the grid. And you also want that to derisk the business. And that's really all that integrated value or that it really means. So looking at the block in the top left there, the environmental regeneration, I briefly mentioned what the ecosystem looks like that is in the process of being restored. That's one element of it. Of course, the other element is that every single tonne of material that we mine is from a tailings dam that was built many, many years ago. And by removing it and ultimately cleaning up that site, you either in as much as it may have been an environmentally sensitive area, you're restoring a wet land or the natural flow of water in the river area or in as much as it's suitable for residential purposes or for industrial purposes that can be put to sustainable land use. So that's an important part of that, the ecosystem story I mentioned. In terms of the renewal of the business through innovation, investment in collaboration, because of who we are and because of where we're from, DRD is not a company that was able to invest itself out of its predicament 15 or 20 years ago. We had what we had. And the one thing we didn't have was a robust balance sheet with which to go and acquire a whole host of assets outside of our existing asset base. So we had to look at what was left in our portfolio which was, by and large, a combination or a collection of stuff that other people have thrown away. It was waste. So asset optimization is a term that you'll find us -- that you'll find being used often in our narrative. And what we don't want to do is leave any value behind. So all of the investments, also those that I will be talking about later on, are focused on or intended to deliver into that ambition in delivering to that goal of optimizing our resource base. We have 6 million ounces of reserves, and we want to try and mine as many of those as we possibly can. And we mine them -- we want to mine them at a profit, and we want to make a difference to the environment and society through that process. And that's how all of these things come together. Carbon footprint, I've spoken about, that was my example that I used in describing the overlap of value between the different capital stocks and then caring for our people, employees and for communities. Now this is something also that's becoming increasingly popular in corporate presentations about how much we care. And I think what I want to emphasize here is that caring here is not an emotional parameter. It's not wanting to be liked or wanting to sort of be this accommodating uncle that sort of give people what they want. What it really is about is an objective measure of making a real difference in the socioeconomic circumstances of where people live. So it's about doing business responsibly, about not being indifferent to the surroundings and your area of impact. In other words, if your portfolio of assets consists of a whole lot of mine dumps, then you want to take measures to ensure that the dust off those tailings dams are contained and it was contained and that it doesn't cause inconvenience to your surrounding communities. That's part of a culture of caring. And it also means in terms of the needs of society, investing in the sort of thing that could assist those societies to becoming increasingly sustainable. And once again, it doesn't involve people standing in a queue and somebody handing over parcels of stuff. That means empowering people through knowledge and by assisting them facilitating self-empowerment. So ultimately, those communities could lift themselves out of the desperate situation that they sometimes find themselves in. So very much something that I leave is objectively measurable and that contributes towards a stable environment within which you want to do business. It's very hard to do business in an ocean of instability. So ultimately, that also contributes towards the actual value composites of the business. So now talking a little bit about, excuse me, strategy and DRDGOLD in transition. So a lot of what I said up until now is high level of how we think and what drives our decision-making and so forth and so forth. But let's talk a little bit about what we actually did, what we're doing and what we want to do going forward. So we'll use this this little NBA term, Vision 28 to describe what it is that we want to achieve over the next few years in repositioning the business for the future and maybe just provide a bit of context. So when Far West gold operations was acquired from Sibanye a few years back, the intention was always to develop it in two phases. The first phase being getting into production with as little capital as possible and finding our way into this new environment and then using that footprint to launch the next phase, Phase 2, which is the capital-intensive phase of Far West gold operations. So starting off with the circuit that was running at roughly 500,000 tonnes per month and depositing onto the Driefontein number 4 dam, a dam, which we knew at limited capacity. For Far West gold operations to run its course, the reason why we bought it initially was to ultimately position it such that it would be in a position to mine, like I said earlier, most of it's resource, not leave any value behind. So Phase 2 for Far West gold operation that was envisaged right from the outset. That was part of the story line that we shared with the market right from the outset. Ergo was not described in equally clear language. So maybe to contextualize Ergo and its story line in a little bit more detail. And it became apparent to ourselves as we went through this journey. But you'll recall that when Ergo was launched right at the outset 2007, 2008, when it was bought, second attempt at buying it when we finally managed to land Ergo, the idea was a 227 million tonne resource that was going to be mined over a period of 12 years. Now long and the short is that every part of that 227 million tonne resource has now been mined. So Ergo, the Ergo story that motivated, justified the initial capital investment back in the early 2000, that story has run its course. Ergo that story of -- that part of the Ergo story has come to an end. The fact is that as we went deeper into the Ergo story, we were able to add resources, and we were able to extend the life of some of the core initial assets. But from about 2021 onwards, most of those, in fact, all of this initial core sites, reclamation sites started reaching their end of life, started reaching maturity and they were becoming depleted. And a decision had to be taken then. Are we now calling it? Are we calling it the day on Ergo? Is this now the final phase? Are we entering closure? Or are we going to try and extend this operation for another few years? And in line with our idea or philosophy of optimizing our resource because we still had plenty of tonnes left, and we'd also accumulated some additional tonnes. And in fact, some of the sites that we used in the past as tailings facilities, tailings storage facilities, were now starting to look increasingly attractive against the backdrop of a different gold price environment and also with the volume capacity that we had created that it was worth rethinking the Ergo story, and hence, this idea of Ergo 2.0, which is essentially a second, third, fourth phase of Ergo depending on -- at what point in time you start counting. Long and the short is that we've decided that we're going to have another go at the Ergo story, extending the Ergo story and seeing to which extent it's possible to add some life to it. And this is really what this is all about. So in the 24 months prior to December 2023, all of the old sites had become depleted. We'd started the licensing process for replacement sites back in 2018. There was COVID. There was all sorts of other things. And the seamless transition that we had hoped to achieve did not materialize. But in the final analysis, over time, it did materialize eventually, six or seven months late. But as I stand here, all of the sites that we needed to license in order to fund and position Ergo, as it develops towards day one of Vision 2028, which is the 1st of July, 2027. And obviously, that is a number in a calendar, but one that we're working towards as one of our markers as we stand here, everything that we need to do in order to start developing and investing to get to that point is now in place. All four of the new sites plus a fifth, so we're back to volume throughput capacity. We're now where we wanted to be around about October of last year in terms of that volume throughput. We're also reaching the end of the Brakpan tailings facility though. So whilst Ergo could quite comfortably produce up to 2 million tonnes per month, or 3 million to 2 million tonnes per month up until about a year, two years ago, we're now intentionally throttling that back. We've put down to 1,600,000 or rather 1,650,000 tonnes per month. And that is the rate that we will sustain going forward until the new site for Ergo is up and running and has been commissioned. So a whole lot of things started happening in 2018. The licensing of the new sites, we submitted in terms of the Brakpan tailings facility, we submitted a dam safety report as we are required to do because the Brakpan tailings dam is a Category 3 dam. We submitted another one, 2021 revised design, 2022. These things are being reviewed by the department, but that is the enabler going forward to continue to deposit at this rate until Withok is commissioned. Same time we're also looking dynamically at the entire combination of assets that we have. Some of the resources that we have now are maybe better suited as a tailings deposition facility. And then some of the resources that we haven't in the past factored in as part of the life of mine story or the mine works program are starting to look increasingly attractive. So we're not at this stage changing the narrative of the technical report summary that's filed with the SEC, but what we are looking at -- what we are doing is looking dynamically at the composite an will decide what will ultimately be the best combination and the best use of our portfolio of assets. The objective though is to move from the current format or the current throughput profile rather of 1,650,000 tonnes a month at Ergo plus 500,000 tonnes at Far West gold which is just over 2 million tonnes to move up to 3 million tonnes per month as from the start of financial ‘28, and to lift gold production from 5 tonnes per year to 6 tonnes per year. The capital investment to be made to get to that point is roughly ZAR7 billion. ZAR3 billion was spent in the last year for the solar farm, so we now have ZAR3 billion worth of prepaid electricity. We spend another ZAR7 billion odd, and that will then give us 5 tonnes plus 1. So in today's numbers, how much is a ton of gold, today’s numbers? ZAR1.5 billion. So adding to -- all things being equal, adding ZAR1.5 billion of revenue to our ZAR6 billion worth of revenue as we speak, assuming the gold price stays the same. For Ergo, the opportunity then extends into another 14 years and for Far West Gold into another 25 years. So -- and this is -- these are the things that we have done and that we are doing to work towards that Vision 28. The solar facility, and I've spoken a lot about that. But here, you could see what's already been done in terms of that facility. Just over 13 million kilowatt hours of energy that's been used. The ability to generate was significantly higher, but it was being throttled back until such time as we could tie into grid. But we've used up to just over 13 million kilowatt hours of energy, which is 10% -- roughly 10% of Ergo's consumption. By 2025, that's this financial year, half of Ergo's energy consumption will be of solar, and the electricity costs will then also reduce by between ZAR9 and ZAR15 per tonne. And it's maybe worth making that point, and I do make that point in the letter to shareholders, is that part of this evolution is also a change in the cost profile, just the basic construct of costs on both operations. Far West, not so much because, at this stage, it is still only a two-dam reclamation facility, which is being very, very tightly managed. But Ergo is an example of complexity being reduced to being less complicated. So reducing the number of sites on which there's activity from 15 to 5. Many of those sites are cleanup sites. In fact, all of the cleanup materials that we had that was available to be brought into the circuit, those have been depleted as a consequence of the delays that we experienced last year with the new high-volume sites. But reducing the number of sites from 15 to 5, that will play a big role in reducing the per unit cost, the per tonne cost. And that's, by and large, associated with the earthmoving equipment. So all of your old sites, all the material that's moved from those old sites, that's loaded, lifted and hauled with big trucks. And that's expensive. So once that comes out, and we have five high-volume hydraulically mine sites, you see a very, very significant change in the cost profile. And in fact, in March, earlier this year in March, we did a webinar with the assistance of Standard Bank. It was Standard Chartered with Nic Dinham, and we explained how this evolution was taking place and how that per tonne profile is bound to change over time. But the solar farm is a big role player in that regard, dropping those costs to below -- firstly, initially below ZAR200 a kilo -- rather ZAR200 a tonne and then even further down as the complexities reduce even further. Regional tailings facility, now this is a story, which is very encouraging, considering also some of the other challenges that we'd faced in the last year or two. So when we say we started building this tailings dam, there's so much that had to happen before we could actually start with construction. We'd already had experiences with the Department of Water Affairs and the delays in licenses. And we realize that we've got to change tact. We've got to approach this completely differently. If I want something done in a particular way, then it gets done in that particular way, or else you add six months or a year to the timeline. Here we engaged, firstly, with another department within the Department of Water Affairs with Dam Safety, which we experienced somewhat differently than some of the other experiences that we had. This is a department within a department that is focused on dam safety. So it's very technical. We thought that conversation there was far more conducive towards working towards an outcome, and it didn't disappoint. We got the consent to go ahead with construction well on time. We subsequently also have been issued a water usage license or the amended water usage license. We applied for amendments to the water usage license following a change in the design of the dam, which included now the liner, plus a change in the configuration of the initial starter walls. So all of that's done. And on the 5th of July, we had the groundbreaking exercise. And it wasn't done with the speed. Because it's such a big dam, it was done with this back actor -- or excavator. And we're very pleased to say that it's going really, really well at this stage. The fortunate part of the site is that it's former agricultural land and not for pasturing, it's for a crop farming. So a large portion of this footprint, this 800-hectare footprint had in the past been used for crop farming. So it's relatively flat. And the entire process to prepare it for this liner involves lifting the top section of top soil and redistributing it evenly, compacting it. And then after that, the liner will follow. So we're pleased with what we're seeing happening at the moment. That seem to go really well. It's also -- and this is part of the sustainable development or ESG story line, which also, I believe, a very good example as to how proactive engagement with the surrounding communities with regards to their involvement in providing employment and so forth, how that ought to be done. And there's been very little disruption in terms of the initial stages of this project. Not the sort of thing that we experienced with some of the other sites. So down to the money part, operating performance. And here, you could see that the trends do, in fact, follow the storyline of what I've been sharing with you with regards to some of the delays and the recommissioning and getting it back up and running again. So just looking at the Ergo volume, the Ergo tonnes, you could see that, although from the first half of '23, there was a sharp dip, sharp decline, this is when some of the high-volume sites came offline, and we had to rely more and more on load and haul. By the end of the first half of '24, we had depleted all of those. In fact, if you were to look at the environmental report that we submit to the Board every quarter of tonnes left on some of these cleanup sites, there are about seven of them, and it's just 0000. They are down to [red Transvaal] (ph), and they are now in the final stages of being decommissioned and getting nuclear clearances and so forth before being returned to the rightful owners. Unfortunately, the licenses came through too late in the financial year to really catch up on tonnage. So you'll see that tonnes for the two halves were relatively flat. It's only now that it's picked up. And as I say, we're actually containing throughput now and limiting -- at Ergo limiting it to 1,650,000 tonnes per month. The yield, obviously, with all of this load and hauling taking place of the remnant material, the yields were higher, especially in the second half of '23 and the first half of '24. But once it became depleted and some of the high-volume sites came through, especially the Roshqott site, which is a former deposition site, a tailings storage site. We use it for Knights deposition up until about three years ago. The head grades were quite a bit lower. Unfortunate because we would have trickled in or dribbled in some of the high-grade materials still over the next few years if these licenses had been issued when they were supposed to have been issued, then we would have been introducing some of the cleanup material for at least another year or two. That opportunity is now gone because we had to treat all of those, but -- for which we would have had the little production over this time. But look, it is what it is, and at least the cost profile is changing. But you'll see that in the guidance, the guidance is relatively modest for Ergo, and that's off the back of lower head grades that we foresee for the next few years. Production tells the same story. There was just not enough time after the license has been issued to make up the shortfalls of the first year, and it's only now really that those trends have changed. Far West Gold story is different because the commissioning of its new site, it happened with fewer hiccups. There were one or two delays, but mostly on instrumentation and imported goods and so forth. But in terms of the actual construction, the commissioning, it was a story that just went a whole lot better for us, and you could see that in the numbers, too. So number 3 dam is up and running. It's running at full steam. The metallurgy is slightly different. So you'll see that the cost mix has changed ever so slightly, a little bit more cyanide because of the geological -- I wouldn't say, call it, complexity, but it is slightly different than what we saw on dam number 5, but it's giving us what we're calling and, at this stage, limiting throughput there also to 500,000 tonnes a month. It's a 300,000 tonne a month plant, but we want to make sure that we don't overextend the tailings dam, the number 4 dam, and that we run out of deposition space before commissioning an early occupation or beneficial occupation of the RTSF. So it's coming along quite nicely, and it's giving us very good returns. It costs only about a third of revenue. So still running at a very, very good margin as well. I think this is where -- yeah, so this is where I end and where Riaan takes over. Just a consolidated basis, you could see volumes only at about 11 million tonnes and -- for the half year, and that's more or less where it's going to be staying. It's just that the cost profile looks different, more hydraulic mining, less hauling and lifting or lifting and hauling. Yields, also relatively flat being foreseen for the future. So that's a good indicator. And also the production numbers, 5 tonnes a year going forward until '27, '28, financial '28 when we implement the different volume profile. So, Riaan, over to you.
Riaan Davel: Thank you very much, Niel. Good morning, everyone. It's really good to be back in person. It's been a long while that, as Niel said, we stayed at a screen. And this is much better. I prefer would also great to have the online participation continuing, and it's wonderful to be able to talk to the results. If you would allow me, as I always try to do, I call it the story behind the numbers. And for me, that is people. So Niel referred to, for every tonne that we mine that you can imagine, for our makeup volume business, for every tonne that we mine or reprocess, there's an engineer, there's a security person tracking our vast footprint. There's an admin person. There is someone making sure the boardroom is clean. There's a financial person. There's a metallurgist. And as people here are operating, as we know, 24 hours a day, so we run a 24-hour a day business. And for this, the Olympic year for 366 days a year. So I just want to put it in that context. Obviously, the numbers that I'm privileged to talk to is not possible without the relentless efforts of people on the ground every day. And I just want to specifically recognize every single person working for DRDGOLD, also our contractors and making this purpose of ours a reality. As you know, for every tonne that we mine and reprocess, we are able to reverse the environmental legacy of mining and improve the quality of life for people. And we're passionate about that. And we're also passionate about our history, 1895, and we're still a round and hopefully, as Niel described, for a long time still to come. So in that context, it is my privilege to take you through the financial performance and also with the background that Niel sketched. So from Ergo point of view, the financial performance year-on-year, I'm going to focus year-on-year. As you would know, the results in the booklet focuses on that, so June 2024 in comparison to the year ended June 2023. So for Ergo overall, revenue up 10%, driven by a substantial gold price increase of 20% year-on-year, the rand gold price, the average at about just over ZAR1.2 million. And as we speak, that trend is now continuing. It is continuing, and we love that. That is not staying at only ZAR1.2 million. So we see it also the US dollar price at well above $2,500 per ounce. So within that context, a good revenue performance with gold sold down 8% year-on-year. Then on the cash operating cost side, as Niel described, difficult times that we had to produce, which means costly tonnes. So if you look -- so contract reclamation costs, machine hire costs, mechanical lifting and ordering of material at these legacy and cleanup sites cost a lot. So the cost per tonne will be much higher for us. So year-on-year, cost increases for Ergo at 12% at a cash operating cost level. And then operating profit, with those two factors taken into account, revenue and cash operating costs, with some energy adjustments, around ZAR38 million. Operating profit for Ergo up 7% period-on-period. And again, just look at the overall number, just under ZAR1 billion. And may we refer to as an old lady, maybe not. I still believe very impressive for the Ergo performance. Far West, as Niel described, also now two sites that they're managing. Overall, revenue, very solid, up 24% year-on-year. Gold sold, also up 2%. So a great result for Far West. On the cash operating cost year-on-year, cost up 23%, again, which may seem intimidating. But as Niel provided that context, last year, we only had -- previously only had one site. Now they operate two. They operate both Driefontein 3, the new site, and also Driefontein 5 as a cleanup site. And obviously, if you have cleanup site as a natural consequence, that's a more costly site. And then Niel alluded to the material. So increase in reagent consumption, driven by an increase in acidity coarser material for Driefontein 3. Obviously, the pumping distance from 3 to the Far West plant is also longer. So all of that added up to the cash operating cost increase. Putting those two together, operating profit up 22% period-on-period off a small energy adjustments. And again, overall, look at that result, just under ZAR1.1 billion operating profit for Far West. So again, well done the Far West team. Great result. We put this together for the group. From an operating margin point of view, very stable period-on-period, so 33.4% in total for the year, 33.1% last year. So very consistent, but very healthy at the same time. All-in sustaining cost margin increased from last year. It's about 24% this year from 20% last year. Sustaining CapEx down, specifically at Far West, but also at Ergo, which impacts that number. But overall, very, very healthy all-in sustaining cost margin of 24%. Looking at the free cash flow. It may look that it's on a downward trend, but let's just -- as Niel alluded to it, the context of that is a wonderful growth story looking forward. So it has to do with our growth CapEx of ZAR2.7 billion, overall cash CapEx of ZAR3 billion, which is a massive highlight. And I'll mention it a couple of times through the presentation. It's obviously included in that number. So if you look at the free cash flow, we see negative for the year of just under ZAR1.2 billion. That includes that CapEx spend that we funded off our own balance sheet. So, a wonderful -- wonderfully positive cash flow utilization story, which I will allude on further when we get to the cash flow statement. And then just ending up with headline earnings per share, as Niel mentioned, up 4% period-on-period, fairly consistent. And we'll talk to dividend. Niel mentioned that we're very proud of the dividend. But in that context, someone may say, it's light, the ZAR0.20 final dividend. But remember now, we have to put money aside for the extensive capital program that we're embarking on in the next three to five years. So in that context, as we alluded, the market were not buying out the majority or a big portion of that headline earnings per share number. Then a statement of profit or loss or the income statement, as some of you would know that, just summarizing what we've discussed up until now. Revenue up 14% period-on-period. So, gold price up 20%. Gold sold, down 5%. So that combination gives us the 14%. Cost of sales, up 13% period-on-period. Our rand tonne -- rand per tonne cost up 18%, with the specific references that we provided for that. Gross profit overall then, the ZAR1.8 billion, up 14%, and taking into account some small other income, administration expenses and other costs leaves us with results of ZAR1.6 billion. The finance income line is still high as we still started the year with significant cash balance, but obviously, towards the end of the financial year, with big outflows around our battery system, which is being installed and activated as we speak. So still big finance income that we generated for the year. That picture will look different, obviously, going forward. And then finance expenses, the majority of that, as you'll see in the cash flow, is the unwinding of the rehabilitation provision on the balance sheet, a very small portion in cash. Income tax, always an interesting line. So the majority of that line is deferred tax. Every accountant's favorite topic. Just to explain what's included in that line is a tax rate change, the deferred tax rate change for Ergo, which resulted for this year, the impact was ZAR67 million through the income statement. But it has a very positive story. As you know, Ergo pays tax as does Far West on the gold formula, which is a formula based on future profitability or the profitability of the operation. So as that rate increases, the underlying story is we expect into the future, and it's over the life of the operation, more profit, driven mainly for Ergo by two reasons, increasing gold price similar to Far West. But the other great story is the electricity costs that we, as Niel alluded to it, we're not as conservative, I believe, as we were last year on the ZAR9. So we do see -- I've already seen and expect a larger benefit for Ergo for electricity. So both of those aspects and others resulted in an increase in the deferred tax rate for Ergo from 22% to 25%. And that leaves us with profit for the year, up 4% to ZAR1.3 billion. Statement of financial position, or as maybe other people would remember, the balance sheet. And yes, the statement of financial position also balances, which is always a good thing. Again, the great story is that line. I mentioned when we discussed this with the Board, if this was a government balance sheet, that is a great story. So we're investing for the future. We're investing in assets. We're investing in infrastructure that will create lasting benefits over a very long period of time. So a wonderful balance sheet to present from that point of view. Non-current investments and other assets, also very positive. Most of that is rehabilitation funds. I always say DRD is in a wonderful position from that point of view that we've built up funds over many years. While we also rehabilitate in essence, our model is rehabilitation. So -- and we're always looking to optimize and see how we can optimize that going forward. Some rand refinery fair value also in that line. Cash and cash equivalents, again, I'll elaborate on the cash flow statement. But as expected, we're expected to invest in our solar projects. So the cash balance will deplete, but over ZAR1 billion of cash still available at June 30. And at the same time, we've secured a facility. Overall, a ZAR2 billion facility with Nedbank, which is available for our capital expansion over the five years. Equity, as you would know, essentially profit less dividends with some other smaller adjustments. Provision for rehab, again, it's something that we monitor very closely. We will see in the booklet, which I always encourage you to then read, which is prepared with great care, you'll note the comment there around some decrease in the estimation of historical cost, which is great. So that is in our ethos, to keep on cleaning. So part of that reduction is in that estimation. Deferred tax liability, again, yes, you'll see an increase there and potentially also going forward as we utilize the CapEx that we've spent based on the tax regime. So that balance, yeah, will probably increase going forward, but that's the current estimate. And then, yeah, if you look at current assets, current liabilities, obviously, not a massive ratio as it was last year on the current ratio, but still a very solid and positive position. Then ending off before the end of the slide to Niel on my personal favorite statement, the cash flow statement, because of its simplicity. So no fair value measures, no historical cost, just so how the cash has moved in the business. So yeah, my favorite, but -- and it's good reading. So net cash inflow from operating activities increased 11% period-on-period. Finance income, obviously lower than last year, and we would expect that trend to continue with our capital program and our cash balance being much lower. And then here you can see the finance income paid small in cash in relation to what's on the income statement. The cash tax that we paid, obviously, utilizing the CapEx regime based on tax legislation, much smaller than last year, most of that relating to Far West. And then still the highlight that I referred to, so in this balance sheet, just under ZAR3 billion in cash spent mostly on the solar project, but there's also some other projects at Far West and also at Ergo, but mostly towards the solar. This is extremely exciting for us, yeah. So wonderful investment of cash. And then just to allude as well, the cash dividend paid, so that's obviously the last year final dividend of ZAR0.65 and the interim of ZAR0.20, so ZAR0.85 included in that line, which leaves us with just under ZAR2 billion total cash decrease. And then relating that to the opening cash and cash equivalents, leaving us with a closing balance of ZAR521 million. And as I mentioned, the facility is in place going forward. And then I call it the end of the slide because I'll say something and then Mr. Pretorius can maybe add to the share price. Yeah, my comments were -- at least there were a steady increase from February on our -- so for five or six months. But for me, the significant increase happened still over five or six years. I looked at it and it's quite mind-boggling to some extent. I think in May 2019, if I got it right, you could still buy DRD just over ZAR3. So -- and if you compare it to where that price is in that growth over the five-year period, it is really special from that point of view. And obviously, we're a different company now and also with the Far West assets. But maybe I'll leave it at that. Hopefully, that will make it easier or not maybe for you to comment if you want to on the share price as well. But I'm going to hand back to Niel. And then, yeah, I'll join at the end again for questions.
Niel Pretorius: Thanks, Riaan. Thank you very much. Yes, I'm not going to say much about this issue other than maybe to say, can you imagine if we get this right? What it might look like then? So looking at ESG performance there, again, my favorite word, ESG, if you want to slip in sustainable development, please feel free to do that as long as market insist that ESG is an important concept. I'll keep on talking about it. If you want me to change to sustainable development, our energy level might lift ever so slightly my enthusiasm. But be that as it may, let's talk through these topics. I think what's very nice in this year is a collection of information, was the trends over 10 years of what's happened since sustainable development has brought on board as an important theme in DRD strategic thinking, electricity usage. Obviously, we want to decrease our carbon footprint, but at the same time, also improve the robustness and the resilience -- embedded resilience of the business while saving money. It's nice to see that number swinging the way that it did. It's going to change even more going forward. And with some interesting exciting things in the future, not too distant future, hopefully as well, a big number here in South Africa, a dry country, where we could reduce potable water usage by 83%. It's going to be shooting water over water in South Africa in the not-too-distant future. So it's important that you have your access toward a better down that it's in place. Environmental expenditure of ZAR530 million also over that same period of time. In fact, I seem to recall that in the early years of declaring it at Brakpan that the amount of money that we spend, not on operating expenses, but just on ongoing rehabilitation at that dam was higher than the dividend. And that's really how you should be modeling your business. If you're not mining to close, if you're mining and then making closure, somebody else's problem 10 years or 20 years into the future, then you really running a distorted model. That's going to make mining less attractive and not more attractive going forward, unless you're an opportunistic investor. And I think there are fewer and fewer of those around. And then in terms of vegetation, 477 hectares, that's a vast area. It's probably about the size of downtown Johannesburg. We're not done quite yet, but we've broken the back on this. And there's very little that's coming in any of our facilities anymore. I think quality of life in that area has improved quite a lot. And an interesting comment that was made by Mark Hoffman, whom we consult on reporting. He said that environmental issues very quickly turn into social issues, and that is so true. And if you're responsible about the environment, then it's almost as though the social issues in your immediate vicinity are also less intense. Then in terms of social performance, so the numbers -- employment numbers are quite stable. We're still at permanent of about 870 souls in full-time employment. The enterprise development spend or socio-economic development spend, it's also been on the uptick since we've been making a little bit more money. And as I say, we believe that there is a directly proportionate relationship between social stability and just the ease of doing business in a particular area. We've definitely seen that over time. And then also on diversity, it's amazing what an open mind and targeting the best talent can achieve over time, and that's exactly what you're seeing here. That's a wonderful number, and I'm proud of that. I'm very proud to be associated with every single member in our team. The social capital strategy that we pursue of wanting to play a role in communities and assisting them and establishing a sustainable future for themselves and mainly through the unlocking of the informal economy, I think that's also increasingly starting to pick up momentum. And it's amazing if you proactively engage in this regard before moving on to a site just how much different the mood is as and when you do step on to that site. From a governance perspective, so governance in the South African mining context, a very large part of governance is how well you manage your tailings and what the systems are with regards to tailings management. And ever since we decided to take a more personal control of tailings management and establish line of sight management systems, relying increasingly on technology half, that has also just changed, chalk and cheese. And I do believe that Brakpan in terms of how to manage an established old mature dam, both from an environmental perspective and from a structural integrity perspective, ongoing management, I really think that it's an exceptionally well-managed facility. The amount of buttressing that's taken place, especially since 2018 when we decided that Ergo is not stopping, Ergo is going ahead, the amount of buttressing that's taken place, the additional filters that have been installed, the launders, I don't think there's another tailings dam in the world with the system of -- to discharge surface water and the way that's being done at Ergo, it's -- the return water dams, just the optics of the entire facility, it's -- I think the team has done itself proud on how they have managed that. And then, of course, the latest and the best in terms of technology. World Gold Council is becoming increasingly exciting. It's something that we held out on for a while, actually for a long while, but then eventually decided to join when given the opportunity. And I must say, in terms of gold as an investment and not an investment just on the retail side, but institutional money finding its way into gold, I think the World Gold Council is doing a lot of work. It's been very intelligently managed and steered strategically by its executive team towards setting up gold as a qualified liquid acid, as something that institutional investors will increasingly also look at. And they know where the issues are. Nobody wants to buy or invest in something where there's the potential for embarrassment because of human rights abuse and so forth. So on the part of provenance and the part of certification identity in terms of unified standards and so forth, there's an enormous amount of work that's going in there. And I think that they are picking up momentum in that regard and that we may pretty soon find that gold would hopefully become less of a safe haven investment, sort of a grudge investment and more and more of a capital preservation and even a growth return kind of asset. It's -- we all know that's the only real currency. So why not? So let's dwell a little bit on looking ahead. I do think that I spent quite a bit of time initially in explaining what it is that we want to do with regards to Vision 28 and how we're trending towards that. So, for the near term, once again, guidance is premised on the throughput. So you'll see that the guidance is around sort of in the middle. There's about 5 tonnes. Obviously, the access to tonnes at the start of this year compared to what it looked like last year is chalk and cheese. At both of our operations, we will now be running, for the foreseeable future until our deposition facilities have been put in place, we'll be running at a slightly throttled back run rate. So, Ergo as I said earlier, at 1,650,000 tonnes and Far West Gold at 500,000 tonnes, and that will continue until the Brakpan/Withok and potentially other facilities at Ergo been established and the RTSF have been put in place. Cash operating costs remain on the higher side in terms of industry norms, but still very healthy margin. We do believe that, that will start coming down incrementally over time as the model becomes less complex. And then we'll continue with capital investment program. A big chunk of that this year is Far West Gold. So Far West Gold is full steam ahead in terms of the construction of the RTSF. And then it will also start in the construction of the additional capacity at the Driefontein 2 plant. That needs to go to a 1.2 million tonne a month plant, and that needs to coincide with the date for beneficial occupation in September 2026. So lots to do and a lot of loose moving parts that we need to manage. The Ergo 2 decision has been taken. That's full steam ahead. And there, again, it wasn't do we sort of do it, do we continue as long as we can and so forth. The reality for Ergo's was either closed or it invested the necessary capital to open up another 14 years of production. And we decided on the latter because we do believe that it makes commercial sense to do that. Then, I spoke about Far West Gold recoveries and the things that we want to do there. I think that sort of summarizes everything that we wanted to share with you. Obviously, we'll take your questions now. Riaan and Jaco, you can join us here. I'll just stand here with Charmaine, and then we can look at the questions.
A - Niel Pretorius: Thanks, Brendan. I'll go to you first, Brendan. Let's just set ourselves up and then we can go. Okay. I'm going to go to Brendan first. And then if there are other questions, we'll deal with the questions in the room first. And then we'll go to the Internet. Thanks, Brendan. Fire away.
Brendan Ryan: Brendan Ryan, Miningmx. Can you talk about the implications for your dividend payouts over the next three years of this high capital expenditure program? Riaan described your final dividend is light. I would call it downright stingy. And is this what shareholders have to look ahead to for the next three years? Thank you.
Niel Pretorius: Yeah. Look, if we don't make money, then there won't be a dividend. If we do continue to have free cash other than the growth capital, then we'll continue to pay a dividend. But we've got to be responsible in how we manage our cash flows. And the one thing that we're not going to do is borrow money to pay a dividend. So we are putting facilities in place for project funding. But we don't want to play pretend and then pay dividend with money that we're borrowing and paying interest on there.
Brendan Ryan: So basically, you're saying capital is going to take priority over dividends?
Niel Pretorius: Yeah.
Brendan Ryan: Okay. Can I follow up, please, Niel? In the past, you, unusually for a CEO, have been very outspoken on the value of your share and prospects. At one stage, as I recall, you actually advised people not to buy DRDGOLD because the share price was too high. So can I ask you, at ZAR70 or ZAR80 a share, what is your assessment of DRD's value in the current share price?
Niel Pretorius: Yeah. Look, the only shares that I own in my own portfolio are DRD shares. I'm not selling them now. We're going to be getting some shares as well in about a month or so. And I think I'll be taking up those shares and keeping them. Yeah, I want to repeat what I said earlier. Obviously, at this stage, if I were managing other people's money, I would want to make sure that this outfit actually that they know what they're doing and that they're getting it right. I would take comfort from the fact that the solar farm is not just a success, but it's probably sort of a benchmark setting success in project execution in South Africa. But there's still a lot of money that needs to be spent. So, let me say what I said earlier. Imagine if we get it right, adding a tonne to our profile and if the gold price stays where it is with a reducing cost profile, it could be very exciting.
Brendan Ryan: And then one final question. Is there anything you could tell us at this stage about the work you're doing around or keep assessing where there is a possible copper recovery operation there for the tailings dams in the area?
Niel Pretorius: We're doing an assessment of the ore body. So we have an option to acquire half of that resource. It's about a 80 million tonne resource, Jaco, if I'm not mistaken.
Jaco Schoeman: Right.
Niel Pretorius: It is a complex mentality though. And we've drilled some holes, and those samples are being analyzed. And then we'll take a decision after that. The reason why -- keeping the reason why it's here is when it comes to complexity, if it comes to learning the geology and the metallurgy associated with copper tailings, we think it's a very good place to go. And I'm not trying to sort of pretend like it's tiny. It's not tiny. It is substantial. But compared to some of the other copper opportunities out there and copper tailings out there, it's relatively cheap. It's relatively accessible. And you can gather a lot of information and build up a knowledge base without stretching the balance sheet. At some point, Riaan start saying no and he stops explaining it, this is no more, and you're not getting a check for this. So we want to do that on a relatively conservative budget. If we get it right there or if we build up a knowledge base that sets us up to, with confidence, tackle other resources, this could be the way that we expand into other metals. And then we've decided, or maybe decided is a strong a word, but we're not going to play around in anything outside of the current group portfolio of assets. And when I talk group, that includes Sibanye. So if we're going to be doing tailings, it will be gold tailings, platinum tailings. And the only thing outside of that, that we'll be looking at, at this stage in terms of owning assets, acquiring and owning assets and developing those projects would involve copper. So I think it's an exciting opportunity for us.
Brendan Ryan: Any idea how long it will take before you make up your mind what you're going to do?
Niel Pretorius: It depends 100% on the outcome of the test work. If the test work is favorable, there's absolutely no reason why we can't get going. Because it keeps one of those assets where again, or projects where again, there's existing infrastructure that could be used. It's an available tailings dam. I'm not quite sure what the licensing regime looks like there. Jaco would be able to elaborate on that. But there is a plant that can be upgraded for high-volume throughput. And there is a place where you can put the tailings. And there's also a very nice environmental restoration angle to it as well. Jaco, do you know what sort of timeline for execution would look like?
Jaco Schoeman: Yeah, Niel. So test work is at least going to be another nine months. So we're looking at a nine-month period. And then based on that, obviously, depending on what the test work tells us, it's process flow development, process flow and licensing. And that's going to take at least another year to 1.5 years.
Brendan Ryan: Thank you.
Niel Pretorius: Thank you, Brendan. Martin, I see you've got your hand up.
Martin Creamer: Martin Creamer from Mining Weekly Online. The business case for solar just seems compelling. You've already got half of your solar electricity you need at Ergo. Would you be thinking of going to the West Rand as well and doing a similar thing? And then swinging back to Ergo, could you go to 100% at some stage? Or am I too early in my question?
Niel Pretorius: We do not have for the foreseeable future, we do not have any plans to build another solar farm for that matter. But we are always on the lookout for green energy and an opportunity to participate in some form of distribution of available capacity. So I think before we build another solar farm, especially -- we're not planning a solar farm on the West Rand. But if opportunities do present themselves to pull, let's call it, green units off the grid, units that are being fed into the grid somewhere else and pulling them off at Far West, then we'll certainly look at them.
Martin Creamer: And just final question. You spoke about platinum tailings, but are you emerging into a possible business there? Or is it still a very long way off?
Niel Pretorius: It's really a decision that's in the hands of Sibanye-Stillwater at this stage. The model itself in terms of the operational model is not a complex model. So the logistics of picking up the stuff, taking it to a plant, the adjustments that got to be made to the plant, the deposition, that part of it is relatively straightforward. But what we found was that the -- remember, Sibanye as a company, Sibanye's platinum assets are made up of several transactions that happened in rapid succession. So you have different minorities and different corporate structures in each one of those. And it's -- so if you look at it operational and say that dump and that dump fits beautifully into this, but then you find out that, that dump belongs 30% to this crowd and 20% to that crowd, and they've got an interest in the chrome and they've got an interest in the PGE. So it's a very complex structure, both the ownership and also the corporate structure. And I think what Rich Stewart is doing is just disentangling this whole lot and saying, how can we put it together? And once it's there, we'll be involved in some form or another in executing on that project. I'm not sure it will be an ownership-type arrangement, but I can imagine that project going forward with us being involved in some form or another in terms of operating and development and so forth. And remember, it's also -- it's going to be mostly chrome. Chrome is a bulk commodity. And we like our product to be flown out of South Africa, not driven on the back of a truck or a train to a harbor.
Martin Creamer: Thanks, Niel.
Niel Pretorius: Des?
Unidentified Analyst: If you were successful, and I'm sure you will be, if you achieve a cash operating cost of somewhere between ZAR833,000 going up to about ZAR870,000 per kilogram, this will be the smallest percentage increase in operating costs that you have achieved probably going back four, five years. We look at where your operating costs were going back to [ZAR217,000, ZAR218,000] (ph). This will be a very small percentage increase of about 4% or so. And given where the rand gold prices today tells me that the margin that you're going to likely to achieve if gold price remains where we are, it's going to be the best margin you've seen for many years.
Niel Pretorius: Des, remember the construct of -- thank you for that question. The construct of our cost profile is changing, as I mentioned earlier. So there will be fewer machines. There will be fewer trucks and back actors and loaders and so forth. Those were expensive. So if you're running those flat out at seven sites and the trucking material across the width of [indiscernible], that's a lot of money. That would be anything up to ZAR80 a tonne. I think we paid in certain instances, if I'm not mistaken, Jaco. So you factor that out, and obviously, those costs look different. Don't underestimate the solar farm. That's a big number. You have ZAR15 a tonne at 1,650,000 tonnes a month. You add that over 12 months. And suddenly, the dividend starts looking more affordable. So it's a lot of things coming together. If it does stay at these levels and if we maintain good discipline and if we don't have interruptions, in other words, if we get the throughput, we're not going to be drawing much off the facility that's been put in place, not at this particular gold price level. So it's an extremely favorable situation that we find ourselves in from a gold price perspective and also the way that the business has been set up with all of the things that happened in the last 12 months. And it makes us very excited, but it also makes us a little bit anxious. We want to get this right. We really do want to get this right. We want to take advantage of this opportunity. You want to be spending the capital when you can afford the capital. You want to set yourself up because at some point or another, the gold price, this margin is going to be a lot flatter than what it is now. And once you get to that point, you want all of those capital to have been invested. You don't want to be paying off debt. You want to be running off a clean sheet. So three years from now, four years from now, when we're not spending in the tune of ZAR3 billion a year on capital and we've got that different revenue profile with a relatively attractive cash cost profile, you run the numbers. You know exactly what it looks like then.
Unidentified Analyst: You'll be very happy with these dividends.
Niel Pretorius: We can make up for the dividends, yes.
Unidentified Analyst: For a while.
Niel Pretorius: Well, we'll definitely make up for the dividend then if we can then. Promise you that. Any other questions? Yes? All right. So we've got a few questions from the...
Unidentified Company Representative: Yes. A couple from Nick. So he is the first one.
Niel Pretorius: Okay. All right. So the 14-year life of mine extension is Ergo's. We're really looking at the clusters that we're targeting once the new infrastructure is up and running. So once we can get back to 18 -- to 1.8 million tonnes a month and then at 7 plus 7, so those are two distinct clusters. So it's not 32 years. It's, in fact, 14 from D-day onwards.
Unidentified Company Representative: I need to go back down to Nick.
Niel Pretorius: Let me just take them from the top. Here we go. Right. So the first question here from John is for Ergo's ZAR3.1 billion capital cost cited in the outlook, does that include the solar plant? No, no, that's -- the solar plant is paid for. I think there's about ZAR240 million carryover into the new year for some of the batteries. But other than that, it's mostly -- and that's not this year, obviously. That is now through to 2027. And that's mostly tailing storage facility and also the pipeline infrastructure to...
Jaco Schoeman: And DP2.
Niel Pretorius: No, this is just Ergo. I'm talking about the Ergo. So John, I hope that answers your question. So the solar plant has been paid for. It's not just this year. It's over an extended period of time through to September of -- or July, rather, of 2027, and that is the tailings storage for Ergo, pipeline facilities and the commissioning of new sites. So now let's see if we can get to the question through again. I'll go to the next one. Lisa Steyn is asking what progress has been made on assessing the Copper 360 waste dumps. Are they viable. Brendan, that's your question. I think I've answered that. I think we've covered that. Lisa, I hope that we have. We have Johan Lindgren. How much are depreciation is expected to increase as a consequence of the solar plant investment compared to full year 2024? Riaan, you were just waiting for that question.
Riaan Davel: I'm not really. It's noncash, that's been. So simplistically, we'll be appreciating by another 20 to 25 years. So if you can take your ZAR3 billion investment per year over 20 years, so anything in the region valued ZAR50 million a year in addition, yeah. So -- but all non-cash, but important to consider.
Niel Pretorius: Thanks. Thank you, John. Then, [indiscernible] is asking three questions. Firstly, given the heavy growth CapEx, could you please give some guidance about dividend during this period? So I'll just very briefly repeat my answer to Brendan's question. We're not going to be borrowing money to pay dividend. But if we do make -- if we do generate free cash after sustaining CapEx, we'd be comfortable taking on a measure of debt to pay for the project, if that means that we can continue paying a dividend. It really depends on free cash, excluding project CapEx then. Assuming that the yield is 0.2 gram a tonne, we should be able to achieve 7.2 tonnes per annum gold production. Yes, so the yield won't be 0.2 gram a tonne. The yield would be lower because we are introducing lower head grades into the circuit from 27 onwards. A lot of the higher grades, which had allowed for a 0.2 gram a tonne yield was some of the coarser material. So you will see a slightly different head grade profile from that period onwards. And that's partially offset by the fact that there's less milling, your slime goes straight into your CIL tanks. So there is a bit of a cost offset as well. And then could you give more color about your production target and yield after 2028? Yes. So after 2028 onwards, for at least seven years after that, that's where the 7 and 7 comes in. You're looking at 3 million tonnes per month and a targeted 6 tonnes of gold per annum. The changes after seven years because of changes at Ergo, there is a subtle change. But then the CEO at the time will then tell you more about that. I think that's everything, Charmaine. I don't think I've missed anything.
Unidentified Company Representative: We have a couple of others.
Niel Pretorius: Sorry. We didn't close this one. My apologies, my apologies.
Unidentified Company Representative: It might just be easier from here.
Niel Pretorius: So John is also asking what's the expected return from the solar plant. Riaan, if you want to offer a more intelligent question that's already been given, feel free to do so. But the -- I just call it a ZAR3 billion prepaid facility, less the operating cost. And if you divide it over life at ZAR15 a tonne at 1.8 million tonnes a month, but you might have a more accounting answer.
Riaan Davel: I don't think we see -- look at accounting for that. I would focus on the between ZAR9 and ZAR50 per tonne saving. And again, obviously, we'll have a -- let's call it a broken year. Not broken year, not the full 12 months. So we'll be connecting the batteries, and Jaco can elaborate on that, but towards the end of the year. So hopefully, we'll have a full six months slightly longer on it. But then let's look at that benefit and then hopefully talk next year on more exact numbers. But just do that number. So 20 -- the tonnes down ZAR15 million, ZAR24 million per month saving. So Jaco, I don't know if you want to mention anything in addition.
Jaco Schoeman: No. It's all good, yeah.
Niel Pretorius: John is also reminding me that at the last result call, I said that in July, I will discuss the effects seen coming out of the solar plant, so that we can fully understand the business case. And how come there was no meeting. John, what can I say? I'm really sorry. I was away. No, not really. But we'll try to make up for that. So yes, from Nick, only for me. It was mentioned, again, the reason for cost reduction at Ergo. When will we see normal cost decreases from 220? I think we are budgeting for it in this financial year. Nick, so let me read the whole question so that everybody in the room also gets it. Finally, from Nick, there was mention again the reasons for cost reductions at Ergo. So when will we see nominal cost decreases down from ZAR220 per tonne? We're hoping to see that this year already, Nick. So we're in the final throes of some of the legacy sites. So every month, there are fewer machines being used. So that should come through this year already. Are you happy with that answer, yes? Jaco?
Jaco Schoeman: Yeah. And obviously, maybe weighted towards the next six months. So maybe in the first six months when we report that in February, you won't see the full effect again. But we're hoping that the next six months, again, also with the solar fully in will be relatively better than the first six. But overall, a decrease, yeah.
Niel Pretorius: Nick was also asking about the total -- can you clarify total CapEx to reach the 2028 financial year targets? In other words, you set us up for Vision 28. What's the total CapEx for that? So there's ZAR3 billion already spent. There is about another ZAR7.1 billion to get us to 1 July 2027. So the total number was just over ZAR10 billion. Nick was asking about the 25-year life of mine extension at Far West Gold operations. This has seemed to include third-party materials. Actually, it doesn't. It just means that the fenders post material would also come in. But we are in ongoing conversation with our neighbors. Ultimately, we have 250 million tonnes of material that we can put on to this tailings dam. The capacity is 800 million. We are open for business. What we are saying to our neighbors, though, is that you're not paying us to put material on to this tailings dam and anything other than real currency, and real currency means ounces of gold. So that's what the facility is getting us in terms of participation going forward. I think that's it. I think I've covered everything. All right. There we go. Any final remarks or questions.
Niel Pretorius: Ladies and gentlemen, thank you so much for attending. Really, it was very nice to see you all again. You've weathered COVID much better than I have. And yeah, it's really just so pleasant to have you here. Hopefully, you could stay for a chat and a cup of tea before we all go our different ways -- separate ways. Thank you so much.